Operator: Hello, and welcome to Bloom Energy Third Quarter 2024 Earnings Conference Call. Please note that this call is being recorded. After the speaker's remarks, there will be a Q&A session. [Operator Instructions]. Thank you. I'd now like to hand the call over to Michael Tierney, Vice President, Investor Relations. You may now begin.
Michael Tierney: Thank you and good afternoon, everybody. Thank you for joining us for Bloom Energy's third quarter 2024 earnings call. To supplement this conference call, we furnished our third quarter 2024 earnings press release with the SEC on Form 8-K and have posted along with supplemental financial information that we will reference throughout this call to our Investor Relations website. During this conference call, both in our prepared remarks and in answers to your questions, we may make forward-looking statements that represent our expectations regarding future events and our future financial performance. These include statements about the company's business results, products, new markets, strategy, financial position, liquidity and full year outlook for 2024. These statements are predictions based upon our expectations, estimates and assumptions. However, as these statements deal with future events, they are subject to numerous known and unknown risks and uncertainties as discussed in detail in our documents filed with the SEC, including our most recently filed Forms 10-K and 10-Q. We assume no obligation to revise any forward-looking statements made on today's call. During this call and in our third quarter 2024 earnings press release, we refer to GAAP and non-GAAP financial measures. The non-GAAP financial measures are not prepared in accordance with U.S. generally accepted accounting principles and are in addition to, and not a substitute for, or superior to, measures of financial performance prepared in accordance with GAAP. A reconciliation between the GAAP and non-GAAP financial measures is included in our third quarter 2024 earnings press release available on our Investor Relations website. Joining me on the call today are KR Sridhar, Founder, Chairman and Chief Executive Officer; and Dan Berenbaum, our CFO. KR will begin with an overview of our process, and then Dan will review financial highlights for the quarter. After our prepared remarks, we will have time to take your questions. I will now turn the call over to KR.
KR Sridhar: Hello, everyone, and thanks for joining us today. The energy landscape is going through changes at a pace we have never seen before, and it's both turbulent and transformational. As an energy transformation company, we at Bloom are both adapting to and creating change. Just walking the halls of where our commercial team operates, and looking at their computer screens and whiteboards, and hearing their calls and conversations, there is a palpable sense of positive momentum. The team is looking at a number of opportunities, and it is clear that they are working on several complex and large deals. A big shift in our business today is time to power. We are providing solutions to meet the urgent needs of our customers who cannot fulfill their power needs from the grid. In these cases, we rapidly book, build, ship, install and power sites for our customers in a matter of months, a much faster timeline than a grid connection. Such rapid drill activities will necessarily come with timeline variances, both pull-ins and delays, and will affect our quarterly revenue line. You are seeing this in our Q3 numbers. Based on our current projects and the visibility we have to year-end, I'm extremely confident that Bloom Energy will meet our total year guidance. This is because of our team remaining focused on serving our customers and on delivering results for our enterprise. I want to thank them for their hard work and dedication. More states in the U.S. are now facing unprecedented power outages, shortages and steep price increases. Our U.S. commercial and industrial sectors that include healthcare, education, retail, telecom, and other industrials remain strong, and these customers, new and repeat, find our clean, reliable, and cost-predictable power solution very attractive. We have seen an uptick in our U.S. commercial and industrial business. We are very bullish about AI and the data center market and what that means for Bloom's growth. You see, our Bloom Energy fuel cell systems were purpose-built like a custom cell for the data center hand. Here are the five fingers or attributes. One, the millisecond-scale time response of our solid oxide fuel cell technology to load variations is an advantage for AI loads. Two, the fault-tolerant, pay-as-you-grow and high-power density features of our system architecture make our solution economically attractive. Three, the ability to deliver AC or DC power at various medium voltage settings provides future electrical options. Four, the use of high-temperature heat to provide cooling is a big benefit for GPUs that power the AI revolution. And five, the ability to go zero carbon with natural gas and switch to hydrogen in the future makes Bloom a sustainable solution. The level of commercial activity in the data center space has picked up even more than when I spoke to you 90 days ago. These are multi-party deals that are complex. A 100-megawatt data center deal has a commercial value of over $1 billion, and so it takes a minute, maybe a long Texas minute, to get a deal done. We are making good progress. Expect to hear more from us on this topic in the near future. I'd like to highlight and deliver on our commitments to our customers. First, our ability to execute on large-scale projects is evident. The highlight of the quarter was a landmark agreement for an 80-megawatt fuel cell project in South Korea in partnership with SK Eternix and Korea Development Bank, KDB, to create the world's largest single-site fuel cell installation in history. This project is a significant milestone for us and a testimony that fuel cells are now a core solution for large-scale power generation. We are excited to partner with two global leaders. SK Eternix is a long-time partner of Bloom and has been a distributor of our energy solutions in South Korea since 2019. Korea Development Bank is among the largest banks in the world fostering industrial development of Korea with over $230 billion in assets. This is a model we will replicate going forward, that is partnering with renowned global companies and financial institutions to bring our solutions to other international markets. Importantly, this large power block project is a proof point to show Bloom can power large data centers. Second, it is clear that the power grid is simply not keeping up with the growth demands. Large amounts of power are needed from new sources of capacity. Bloom Energy servers provide this additionality behind and in front of the meter without adversely impacting the rate payer or grid reliability. We spoke a quarter ago about a unique front-of-the-meter agreement between Bloom Energy and Silicon Valley Power. Today, we announced an agreement with FPM Development for 20 megawatts of Bloom's SOFC across two strategic locations in Los Angeles. This power provides additional capacity to Southern California utilities while taking advantage of Bloom's clean, reliable, affordable power. We are currently in negotiations with utilities in other parts of the country. Transmission is a critical aspect of the energy business, and we have been partnering with utilities to complement transmission solutions and remove bottlenecks for our customers. The recent FERC ruling highlights the consensus on the need for large-scale interconnections through new capacity additions. Utilities that adopt this model will likely find it easy to get their projects approved by regulators. Our SVP model has been successful and allows us to work with utilities in a mutually beneficial manner. By adding front and behind-the-meter capacity, we can ensure grid reliability and maintain competitive customer rates. In addition to front-of-the-meter solutions to meet customer needs with a utility partner, we also work on behind-the-meter solutions directly with the customer. As an example, we spoke earlier this year about how Quanta needed power for an industrial facility in Northern California to support AI data centers. Bloom was able to book, manufacture, set and install energy servers to fulfill that need. Later in the year, Quanta returned with a request to increase the power capacity by more than 150% and create the largest islanded and micro-grid in Silicon Valley. Bloom was once again able to meet their demands ahead of schedule. In this islanded mode, we not only provide clean, reliable power, but also follow the load needs of the customer, a new feature, load following that we have added to our offering. Lastly, we remain steadfast in our commitment to cost reduction. It is ingrained in our DNA, and we are delighted to report that we are on course to achieve double-digit cost reductions for the year, just as we have done in previous years. By continuously optimizing our operations, driving efficiencies in manufacturing, and focusing on continued technical innovation, we can deliver our cost reduction goals this year and look forward to doing the same as we go forward. As we look ahead, we are confident in our ability to grow the business based on strong commercial momentum, excellent operational execution, and ongoing innovation. Our ability to execute large-scale projects, reduce costs, and provide reliable power solutions make us a trusted partner for our customers. Put simply, if you want to generate 24-7 power reliably at the point of use without air pollution and noise, and you need it now, there is no better solution in the market than Bloom Energy Servers. We are excited about our opportunities ahead. I look forward to taking your questions. But for now, I'll turn it over to Dan.
Dan Berenbaum: Thank you, KR, and good afternoon, everyone. During last quarter's earnings call, I spoke about how excited I was to be at Bloom, and how after one quarter of working with this team, I felt like our commercial opportunities positioned us well for revenue and profitability growth. Six months into the job, I have even greater conviction that our expanding set of solutions, including microgrid, load following, carbon capture, and combined heat and power solutions, along with our increasing power density, align well with the requests that we see from our existing and potential customers. All 2,100 Bloom employees are prepared to execute on this opportunity as we provide solutions to the critical problem of power at the point of use, and as we continue to be a leader in the global energy transition. Turning to near-term results and outlook. As you know, we generally recognize product revenue as we ship our energy servers for customer projects. These customer projects naturally have schedule variability, both positive and negative. You've all seen this variability impact Bloom in the past, pulling in or pushing out revenue by a quarter. Our second half 2024 is a case of this, and we recognize that our Q3 results and our expectations for Q4 reflect this natural variability. Because of the projects we are currently executing, we have full confidence in delivering second half and full year results in line with the guidance that we have previously provided. To reiterate, we expect revenue between $1.4 to $1.6 billion, non-GAAP gross margin of approximately 28%, and non-GAAP operating income of $75 to $100 million. Bloom is a growing company in a large, changing market. I feel confident that we can deliver full year results even as we adjust to these market changes. To provide a little more color on these changing market dynamics, we've talked over the past few quarters about the steep rise in demand for electricity, and the delays that U.S. businesses are experiencing in getting additional power from their utilities. This dynamic is playing out in our U.S. commercial and industrial business, where we see robust customer activity. Along with data center, this is fueling a mix shift towards the U.S., even while our Korea shipments remain strong. Further, our time to power customers have an urgent need to grow their businesses and meet their own market demands. For these customers, we are booking, shipping, and recognizing revenue within a relatively shorter timeframe, and we do try to prioritize customers with time-urgent requirements. As you can imagine, this dynamic, along with larger project sizes and complexity, is part of why we're seeing this year's quarter to quarter variability, and also why we have confidence in achieving our full year goals. Through all of this, our top priority is profitable growth. We expect that emphasis to show in our Q4 results, as well as in 2025. Crucial to that profitability is our continued focus on product cost reductions. Our technology, engineering, and manufacturing teams have consistently been able to reduce the cost of our core energy servers by 10% or more per year, and we have a road map for future progress at a similar rate. Turning to our Q3 results. Revenue for the quarter was $330.4 million, a decrease of 17.5% over the third quarter of 2023, which, as a reminder, was positively impacted by a large repowering. Q3 revenue was also down slightly from Q2, largely due to a decline in install revenue, while product revenue increased by $7.5 million, and service revenue was flattish. This revenue dynamic also led to a sequential improvement in gross margin. While non-GAAP gross margin of 25.2% was down from 31.6% in the third quarter of 2023, it increased from last quarter's 21.8% as mix shifted towards product, and our product cost reductions continued in line with our expectations. Our service business was again profitable in Q3. We continue to expect service to be profitable for the full year 2024, which would be the first time in Bloom's history that service is profitable across a full year. Non-GAAP operating profit for the third quarter was $8.1 million, a decrease of $43.7 million from the third quarter of 2023, and an increase from Q2's $3.2 million loss. Non-GAAP EPS was a loss of a penny per share. Cash flow from operating activities was an outflow of $69 million in the third quarter, primarily the increases in receivables due to timing of transactions, and an increase in inventory made to meet anticipated demand in Q4. We still expect cash flow from operations to be positive for the second half of 2024. We ended the quarter with $549 million total cash on the balance sheet. As we discussed last quarter, changes in our product mix are impacting the way we use certain metrics to manage our business. Specifically, we're re-evaluating our use of key operating metrics, including measures on a per kilowatt basis. As our offerings evolve and expand, the cost of our core energy server as a percentage of total product cost can vary significantly depending on the solution offered. For example, we package our energy servers on skids to accelerate installation time, essential in a world where time to power is critical to many customers. This adds value to our solution that is not accurately reflected in a per kilowatt measure. Similarly, engineering solutions to increase our power density, such as stackable energy servers, combined heat and power solutions, carbon capture solutions, and our increasingly popular microgrid solutions, all increase both value and cost in a way that is not necessarily correlated to the kilowatts or megawatts of a particular project. We are committed to providing investors with the right level of useful information, and we intend to provide the right set of metrics that will simply and clearly help investors model and analyse our business. To conclude, our commercial opportunities remain robust, and we are on track to show improved financial results as we scale. We are extremely focused on positioning Bloom to scale profitably as we continue to provide clean, reliable solutions for the world's evolving energy needs. With that, operator, please open the line for questions.
Operator: We are now opening the floor for question-and-answer session. [Operator Instructions]. Your first question comes from Andrew Percoco from Morgan Stanley. Your line is now open.
Andrew Percoco: Hi, guys. Thanks for taking the question, and congrats on some strong commercial progress with those announcements tonight. I guess I want to maybe take a look at or ask a question about how you're thinking about the roll forward to 2025. I know you're not giving specific guidance on that, but just with the ITC scheduled to phase down, with the election now behind us, can you just give us any directional commentary about how you're thinking about the setup for 2025? Obviously, we're sitting in November now, so I assume you have some view of where your backlog stands, so anything directionally that you can help us in terms of where we should be expecting revenue and maybe margins to trend as we look forward into 2025? Then my follow-up question would just be around the data center opportunity. And apologies if I missed this in the prepared remarks, but KR, can you give us an update in terms of where you stand? Obviously, you're making some good progress outside of data centers with your traditional commercial and industrial customer base. But as it relates to data centers, I think entering the year you were talking about maybe announcing some rather large data centers by year-end of 2024. What's your latest thinking there in terms of timeline and maybe what's some key milestones that we should be keeping a look for?
KR Sridhar: Andrew, hello. Thank you so much for those two questions. So on the first part in terms of where we are seeing the commercial pipeline, what we're seeing, let me break that up into two parts, right? The first is our traditional business as you have seen over the last three to four years. What we are seeing is a significant uptake in the U.S. commercial and industrial market. Our Korea volumes are stable and strong, but the growth we are clearly seeing in the U.S. C&I, which we think is really good because it's across sectors, it's across regions here in the U.S. and certain new states are opening up for us. All this put together, we believe that, that core business as we have called it over the years in the U.S. is very strong. That will continue that way as I see it in 2025. We think that data centers and the opportunity specifically with large AI data centers is going to happen. We are in active negotiations with multiple partners. We are happy with the progress. Would I be, would I want more urgency on the speed? You bet it. You bet you. I would want to see that, but these are complex deals, but they're all moving in the right direction. So, can I handicap it for a particular date on a calendar? No, but can I tell you we expect to have some good news in that area soon based on where everything is trending? The answer is absolutely yes. Next question, please.
Operator: Your next question comes from Manav Gupta from UBS. Your line is now open.
Manav Gupta: Hi. I'll ask only one question. What I really liked about this press entire release was that you had three orders with three different markets and that's very, I mean, there's a lot of focus on data centers, but diversity also matters. And going ahead, should we think about the diversity as like these three areas where you'll be providing to utilities in the U.S., maybe power internationally and then the data centers? So, should we expect that the three diverse markets you showed us in this press release, that trend will continue?
KR Sridhar: Manav, very good observation. You're absolutely right. There are two things about your order book. It is the orders you have, but also the quality of the order book. And diversity of orders, both in terms of sectors and geography is a huge deal as you think about building a company, not just for the next quarter, but for a decade to come and many decades to come. I'm particularly thrilled about these three orders and where they are. So, I think you broke it down nicely. The shortage of power that we are all seeing, not just in the U.S., but we start seeing that in other geographies too. We have already started seeing them in places like Dublin and Ireland and Frankfurt in Germany and Singapore, places like that. Now, it's not just about generation. It's about transmission. Transmission in the U.S. is going to be a bottleneck for a very long time to come. So, our asset becomes both a transmission asset and an end-user asset. So, to help a utility mitigate the long cycles it's going to take them to get transmission to where they need to supply the power to their customer, a short circuit to that would be to use our box in front of the meter, not have to do transmission upgrades and supply large blocks of power to a customer. You are seeing examples of that with SVP and now with the latest announcement that we made in Southern California. Expect to see more of that. The Quanta on the other hand is in places where the utility because of its regulation or because of other priorities does not want to do that with us. The customer has the choice of coming to us and asking us to be behind the meter and it's the same solution. It's just who is going to deliver the power to whom, whether it's the utility providing the clean, reliable, always-on power to the customer using our boxes or the customer directly getting it from us without the utility. We think they both will play in different places for different reasons. On top of that, I think you ask if you so there you have those deals. The third part is we think international, for us going forward in the next few years is not just going to be Korea. We are making good strides in other parts. Europe's a good example, other parts of Asia. We think Taiwan is a phenomenal opportunity going forward. We think that these markets are going to open up. What you're going to see is diversity in geography, diversity in customers, diversity in sectors, giving us a business that can be less and less prone to cycles in the market. Thank you.
Operator: Your next question comes from Chris Dendrinos from RBC Capital Markets. Your line is now open.
Chris Dendrinos: Yes, good afternoon. I appreciate the opportunity to ask a question here. We noted that you all are expanding manufacturing capacity at the Fremont facility. I guess I just want to ask a question on can you comment on the rationale behind that capacity expansion? Is it indicative of demand increases? And then how should we translate that into the outlook for 2025?
KR Sridhar: Very good question. So we have expanded our capacity in Fremont where we will have a gigawatt worth of capacity next year for our fuel cells. And the answer is very simple. We are not going to build capacity expecting they come. We think that this market is growing rapidly and this is something we will do. In fact, let me tell you that we have enough space there and in six to nine month timeframes, we can add an additional gigawatt to that gigawatt as needed. And so not only are we, do we have a time to power play, we have a time to expansion play. So we can expand more rapidly than most people can and be able to meet this voracious demand that's going to be out there in the marketplace. So we built, we not only selected the factory and the size, but also how we scale to be able to scale extremely quickly as we see the demand go up.
Dan Berenbaum: And Chris, I'll just add, as you might imagine we are still very conscious of our commitment to grow profitably and to be very mindful of how we use cash. So to reiterate what KR said, we will expand as we see demand. We believe that we are able to expand our capacity rapidly enough to meet demand so we won't fall short and we have the time to do it. We'll spend our cash wisely. You will note that as I said in my prepared remarks, our inventories went up this quarter and that's because we expect demand and we're doing that and making the right investments as we see the demand, as we see the commercial activity increasing for and beyond. So we will do this in a very measured, very controlled, very rational fashion.
KR Sridhar: Thanks, Chris.
Operator: Your next question comes from Noel Parks from Tuohy Brothers. Your line is now open.
Noel Parks: Hi, good afternoon. You've just touched on one of the things I was wondering about, which was capital and inventory. And this is kind of a big picture question. In terms of the many types of partnerships that could be beneficial, I was wondering have you looked into direct partnership between Bloom and [indiscernible] pipeline infrastructure operators as a means of sort of approaching different regional markets because as we see the AI growth coming and it does seem to me that there's some geographical concentration. And I'm just wondering if that point in the energy value chain is something that could be fruitful?
KR Sridhar: I think it's a very good question, Noel. We are in early conversations is what I'll tell you. They are not late-stage conversations. We're in early conversations. And I think, correct me if I'm wrong, I think your question comes from the nature of if there are huge transmission problems and if there are these large loads, be it AI data centers or others that require lots of power, wouldn't you be better off being very close to a gas pipeline with what we do and be able to provide that power to that customer. Absolutely logical. We think there's a huge play there, but that kind of opportunity is just opening up as seen by the investors and the gas companies and some of them have been approaching us. I would say we are in early-stage conversations on that. We'll post you as appropriate if something breaks.
Operator: Your next question comes from Dushyant Ailani from Jefferies. Your line is now open.
Dushyant Ailani: Hi, thanks for taking my question. Just wanted to push a little bit on the ITC expiring this year. How are your conversations with customers? I mean, are they worried about it? Any kind of thoughts there would be helpful?
KR Sridhar: Sure. So look, we've been in this commercial market for almost 15 years and policy and regulation and that relating to incentives and subsidies have always been part of this equation. We have always learned how to navigate through this and this year is going to be no different for us. That's the first point to make. The second point is remember, it's a significant portion of our business for the last four years, somewhere closer to 40% and even greater numbers as we go forward does not depend on the ITC already. The third point to make is our costs are coming down, as you heard from our prepared remarks. And we don't need to tell you how the electricity prices are going up and that reliability is going down. And, you know, forget cost. For people who need power, the price of not having power is a lot more expensive than the cost of power and they're not able to get power. Between all these dynamics, we clearly have a plan to operate with or without ITC. That being said, things like ITC are like nitro if you're playing a video game. You know, they help boost your growth. They help you. But that not being available is not a break. It's a speed bump. And we are now at a place where we will know how to navigate that pretty well. So that's how we think about it. Thank you.
Operator: Your next question comes from Sherif Elmaghrabi from BTIG. Your line is now open.
Sherif Elmaghrabi: Hi. Good afternoon. Thanks for taking my question. I was curious if you can shed some light on what the energy server installation process looks like. Are there any downstream bottlenecks that could cause acceptances to push right, even if an order is ready to leave Fremont on time?
KR Sridhar: That's a great question. So, look, how we recognize revenue depends on the contract. And, you know, there are multiple contracts. In some cases, and they are fairly small, it would be, we can recognize revenue when we turn the power on. In other cases, it is when we shift. Irrespective of what it is, ultimately, it is in our interest, because we are serving a customer, to turn their power on as quickly as possible. So now let me explain that process. Independent of us having received the revenue recognition, it's important for us that we serve our customer, right, by turning their power on as quickly as possible. So in most cases, by the time our servers leave Fremont, gas is already facilitated. The electrical interconnection is already facilitated. Those permissions are there. The site is already prepared. So the process of literally connecting three interfaces, electrical, water and gas, to our system, because all the communication is wireless, is ready and it is done. And there will be a local inspection for fire safety, gas, all that, and we are able to turn the power on for the customer. That process, when it is seamless, can be less than a week. But construction is construction. Permits, permissions are all over the map. So the variance on that time can be pretty large. One important point to highlight here is the fact that now our units are all platform mounted. This is the skids. We can simply drop that skid without having to pour concrete, without having to do anything, and be able to connect. It shortened our process so much, and it also gives the flexibility for the customer to move it from one location to another location if they need to. We see this as a humongous step change in our ability to install very quickly. I hope I answered your question. We'd be more than happy to have you come out and watch and installation of ours. It's a joy. I mean, it's basically Lego blocks being put together and turning the power on. Thank you.
Operator: Your next question comes from Ameet Thakkar from BMO Capital Markets. Your line is now open.
Ameet Thakkar: Hi, good afternoon. Thanks for taking my question. Just real quick, it looks like in your 10-Q, you guys have factored about $184 million of accounts receivable year-to-date so far. I was just wondering, does any of that include, I guess, the receivable that we've asked about before with AWS?
Dan Berenbaum: So, I mean, we're not being specific about what's included in factoring, but I will say that that specific receivable that we've spoken to, the SK receivable, we do expect to collect that before the end of the year. We are very confident that SK is obviously a very strong partner for us, and all I'll say is we remain confident in collecting that receivable.
Operator: Your next question comes from Jordan Levy from Truist Securities. Your line is now open.
Henry Roberts: Hi, all. It's Henry on for Jordan here. Congratulations on the new orders. Just on the SK one, what does the long-term opportunity look like there for potential additional site developments with them? And then could we see larger order sizes moving forward, getting into the maybe triple digits of megawatts, or is this kind of the ceiling we should expect?
KR Sridhar: Look, so far, it's been a fairly steady numbers, and again, you can look them up. We report them by quarter and by year. It's been fairly steady over the last four years. Korea is no different from the rest of the world. They, if you just go and read about it, have talked about AI being very important to them, and the chairman of the entire SK group just last week, and it's in the public records, that's why I'm stating this, talked about them wanting to play a very important role in AI, and specifically called out the partnership with Bloom Energy and how they're going to use our systems for that AI. So that's in the public records. You can go see it. So given the need for AI industrialization, the semiconductor chips and everything that goes along with it, system integration, AI. So can that market grow similar to US market? The answer is hopefully yes, because it's an important trading partner for us. Korea is an important trading partner for us, and we are uniquely positioned with our technology to support it, and we believe that we have a terrific partner in SK. Thank you.
Operator: Your next question comes from Martin Malloy from Johnson Rice. Your line is now open.
Martin Malloy: Good afternoon. I also wanted to ask a question on 80-megawatt award, something you mentioned in the press release about the project financing there, and I was just kind of curious, is this something new that lenders are willing to, they're comfortable enough with the Bloom technology to offer project financing on projects using the Bloom servers, or is this something new, and how important do you think this is?
KR Sridhar: So that's a great question. So let me answer it in the following way, Martin. Until rules changed and everything happened, the only process through which these fuel cells were getting deployed was an auction process. The auction process typically happened with the large electric companies that are owned by the Korean government, so it was very different. Now, that auction process now requires developers to come and develop projects on their own, and so financing becomes very important, but we had stated earlier that the auction process is just one mechanism through which we can sell. Our partners are capable of developing processes or opportunities outside the auction process, and not only to be able to develop this process outside, but find a financier of the caliber of Korea Development Bank, because this is your blue-chip financier. So your question is very appropriate, and the answer is yes. It is because of the performance of Bloom for a little over seven years that we have been there, and how comfortable they're getting with our technology, that a financier like that is coming and willing to backstop a long-term contract. It's a very good sign for us going forward. Thank you.
Operator: Your next question comes from Chris Senyek from Wolfe Research. Your line is now open.
Chris Senyek: Hey, guys. Thanks for taking my question. I just wanted to ask, what drives your conviction to meet full-year guidance? I see the FPM order is expected to be delivered by year-end, but any color on timing from the upsized quantum capacity and the 80-megawatt order with SK Eternix, should we think about those deliveries to be in 2025? Also, given the timing, it doesn't seem like we'll see anything from Greenfield or Brownfield data center customers for this year. Is that a fair assumption? Thanks.
Dan Berenbaum: Hey, Chris. So a lot of questions baked in there. I'll say with the SK Eternix, that's 2025 revenue for us, and we talked about that. We expect that commissioning in 2025. We expect to help our partner with that in 2025. For 2024, as I said in my prepared remarks, we have visibility onto very specific projects that take us through the end of the year. And I talked in my prepared remarks about some of the puts and takes, the quarter-to-quarter variability that we see. Look, we are a large project-based business. As we see more of these U.S. CNI projects and customers coming to us, that leads to some of that quarter-to-quarter variability. But very specifically, when we look at Q4, we're looking at very specific projects that are in various stages of contracting, for example, that lead us to be confident in our ability to hit that full-year guidance. So these are very specific conversations that we have looking at our relationships with our customers on the projects that they are moving forward with.
Operator: Your next question comes from David Sunderland from Baird. Your line is now open.
David Sunderland: Hey, Dan. Hey, KR. Thanks, guys. Appreciate you taking my question. I know you talked earlier in the year about making some adjustments to both your sales team and your sales process, just as some of these deals in the very close to hundreds of megawatts go up to the C-Suite for customers at some point. Just wondering if you could talk to any traction you've been getting with these new processes and specifically if you think there's going to be a long sales cycle going forward or if maybe there will be an acceleration after the first one or two larger deals are signed? Thank you.
KR Sridhar: David, thank you. This is KR. So let me start with the last part first. I think the first couple when you're breaking in into any new market is always the hardest. It takes the longest. That is the typical cycle that we have seen when we enter any segment or any geography. And this is similar, but in many cases, some of these end users are very familiar with our technology. It's not the technology issue. It's a multi-party issue. When something this large is installed, there are multiple parties involved, as you can imagine and bringing multiple parties together, making sure all the interests are met and there's a proper deal to put together. And when you're doing it for the first time, there's a lot of back and forth. So what is going on right now is not discussing whether we should do something or not do something or figuring out. The technology qualified. There's nobody in the data center market that will say that Bloom Energy Technology cannot properly support a data center. So the technology qualified. So this is more on the commercial process. And like I said in my remarks, it takes a minute. I would like to see it happen in seconds living in Silicon Valley, but it does take a minute. So be patient. We are hoping that we can come back to you soon with some news.
David Sunderland: Thank you.
Operator: Next question comes from Brett Castelli from Morningstar. Your line is now open.
Brett Castelli: Hi. Thank you. I just had one on a bigger picture question on cost reduction. Curious if you can talk about the timeline on future product generations and the impact they may have on your cost roadmap? Thank you.
KR Sridhar: Thank you, Brett. That's very good question. So the way to think about what we bring to the table is not just product generation. It is really about the attributes of the product. The key attribute being if we reduce the cost, we increase the affordability and we increase our competitiveness in markets where we are just sitting on the edge of being competitive with the grid. So for both those reasons, affordability and expansion of market as well as expansion of margin cost reduction is super important. It's been in our DNA. We do that every single year. And last year we had a double digit. This year we will have a double-digit cost reduction and I absolutely expect nothing less than a double-digit cost reduction next year. And this will continue. So we look for the best ways to bring that cost reduction while we are adding features to our product. So exactly where we bring that cost reduction, today if you think about it, an islanded microgrid making our product suitable for islanding. Let me explain this to you because that's not a common word everybody understands, right? An islanded solution of ours, means that it is absolutely not connected to the grid and the unit supports the power in the building. Then what do you need to do? The load in the building goes up and down. It can be turned on. It can be turned off. And in the morning to night, peak times, load changes. People are not familiar with a solid oxide fuel cell being able to load follow. And we never sold load following before. Our new products allow us to be able to follow the load for a customer and not depend on the grid as a flywheel to go up and down to take care of the excesses. Net metering is not going to work when the grid is not able to take care of its own needs properly. So Bloom's Solution is so much superior than an island and not rely on the grid. It takes away the congestion from the grid. It takes away the dependence on the grid. So these are the places now we are more focused on making advancements and bringing costs down rather than just thinking about what is the next release. Our next releases now are a combination of better fuel cells with better features. But I want you to understand, we're doing all this and still continuing to bring the cost down. More features, lower cost.
Dan Berenbaum: So I'll just add, as KR said, it is about adding more value to our customers. But rest assured, I have to give a shout out to our manufacturing operations, our engineering teams. They are maniacal about improving the quality, reliability, cost of the product. And so those folks do a tremendous job every single day. And even as we add more value with these new solutions, we are maniacal about that operations discipline and focus.
Operator: Your next question comes from Colin Rusch with Oppenheimer. Your line is now open.
Colin Rusch: Thanks so much, guys. As you start bidding on larger projects, can you provide some insight into how you're approaching pricing and relative to whether it's natural gas turbines or other technologies and how much value you really put on potentially future-proofing these sites as microgrids?
KR Sridhar: Look, there is plenty in the market today opportunities where we bring in a valuable solution to a customer. And we value price. The gas turbine market is hundreds of gigawatts, and they will keep selling where they sell, and they should be. But the things that we can do, a gas turbine cannot do. And the things that we do, a customer needs. So a customer is going to look at whether we are providing a value, we are providing enough value for them to transact with us. And we have demonstrated time and again in multiple market sectors, multiple segments, multiple geographies, that we are able to do this. And if we are not able to satisfy a customer, more than two-thirds of our order book will not be from repeat customers. Thank you.
Operator: Your next question comes from Tim Moore from Clear Street. Your line is now open.
Tim Moore: Thank you. I just had a question regarding the SK partnership. Do you expect to maybe drive a higher bid win rate if you did full manufacturing in South Korea to maybe complement your high assembly step? Just wondering if that might convert to more wins?
KR Sridhar: That's a very good question. We currently have a joint venture in Korea with SK. A lot of the assembly work outside our core technology, which we call the hotbox, is done in Korea. I guess it leads to not only the cost benefits you talked about, but a very important localization we bring to a country when we enter that market to create a win-win for that country. And in addition to that, given the tariff regime that we have lived in, and we'll definitely live in for the next few years, those units being assembled in Korea and shipped to those customers do not have to undergo those tariffs. So they're all benefits. But the core technology is not something that we will do anywhere other than in places that we have absolute control on. That is Bloom's proprietary technology. Thank you.
Operator: That concludes our question-and-answer session. I'd now like to hand back over to KR Sridhar, CEO. Thank you.
KR Sridhar: Thank you very much, Ellie. As I close, let me reiterate on a few points. First and most important for you, we are reaffirming our guidance for this complete year. Okay? We are reaffirming. Second, the deals we announced today show you the quality and the diversity of the places where our value proposition is very attractive [Technical Difficulty] and it's accelerating. And we think because of the macros that we see in the electricity market, it will only continue. The fourth thing is the dynamics in the marketplace is very much in our favor. Time to power, FERC regulations saying if you are going to connect, you need to bring additionality. All those things are clearly playing in our favor. Data centers and entire AI supply chain is going to create a demand unlike any other that we have ever seen since Edison put a grid together. And we are hand in glove for that market. I can't tell you how excited I am about it. But most of all, any of this we cannot be doing but for our dedicated, hardworking team members who are focused on executing and serving the mission of Bloom every single day. I'm excited about our future, glad that you're part of it. And we are working hard to make your stake in this company very valuable. Thank you.
Operator: Thank you for attending today's call. You may now disconnect. Have a wonderful day.